Operator: Ladies and gentlemen, thank you for standing by and welcome to the AutoNation third quarter 2020 earnings conference call.  At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question and answer session. To ask a question during this session, you will need to press star, one on your telephone. Please be advised that today’s conference is being recorded. If you require any further assistance, please press star, zero. I would now like to turn the call over to Rob Quartaro, VP of Investor Relations. Please go ahead.
Rob Quartaro: Thank you. Good morning and welcome to AutoNation’s third quarter 2020 conference call and webcast.  Leading our call today will be Mike Jackson, our Chairman and Chief Executive Officer, and Joe Lower, our Chief Financial Officer. Following their remarks, we will open up the call for questions. I will be available by phone following the call to address any additional questions that you may have. Before we begin, let me read our brief statement regarding forward-looking comments. Certain statements and information on this call, including any statements regarding our anticipated financial results and objectives, constitute forward-looking statements within the meaning of the Federal Private Securities Litigation Reform Act of 1995. Such forward-looking statements involve known and unknown risks that may cause our actual results or performance to differ materially from such forward-looking statements. Additional discussions of factors that could cause our actual results to differ materially are contained in our press release issued earlier today and our SEC filings, including our most recent annual report on Form 10-K and subsequent quarterly reports on Form 10-Q and current reports on Form 8-K.  Now I’ll turn the call over to AutoNation’s Chairman and Chief Executive Officer, Mike Jackson.
Mike Jackson: Thank you. Good morning everyone. Thank you for joining us today. AutoNation’s third quarter results were the best ever in the company’s history. We reported an all time record quarter adjusted EPS from continuing operations of $2.38, an increase of 102% compared to last year. In the third quarter, we saw solid demand and a strong pricing environment due to low interest rates and increased interest in vehicle ownership from consumers. With the higher demand and tight inventory, we adjusted pricing and were able to improve our margins. New vehicle inventory remains tight and we expect it will remain tight into ’21. For the quarter, same store total variable gross profit per vehicle retail increased $966 or 28% compared to the prior year. Same store new vehicle gross profit per vehicle retail increased $914 or 56%, and same store used vehicle gross profit per vehicle retail increased $602 or 43% compared to prior year. With our continued focus on our We Will Buy Your Car initiative, we’ve more than doubled the number of vehicles we sourced compared to last quarter. Approximately 75% of the pre-owned units retailed are acquired from customers. For the third quarter, we acquired over 12,000 units with We Will Buy Your Car, and we’re currently sourcing over 4,000 units a month to both supplement our inventory as well as reduce our average used vehicle acquisition costs. During the third quarter, we continued to leverage our digital capabilities to drive cost reductions and increase efficiency for the business’ long term success. These efforts combined with our strong gross profit growth drove significant SG&A leverage in the quarter. Adjusted SG&A as a percentage of gross profit was 64.4% in the third quarter of 2020, representing an 800 basis point improvement compared to the third quarter of 2019. We are committed to operating below 68% SG&A as a percent of gross profit on a long term basis. Our AutoNation USA stores delivered another profitable quarter. The continued growth and strong execution at these stores solidified our decision to move forward with the AutoNation USA expansion announced in the second quarter. We plan to build over 100 AutoNation USA pre-owned stores with over 50 completed by the end of 2025. Our plan includes five new AutoNation USA stores to be open by the end of ’21. The AutoNation USA expansion will include extending AutoNation’s coast to coast footprint into new markets with our first new stores open in Austin and San Antonio in ’21. These stores will continue to leverage the AutoNation brand and its proven processes for a competitive advantage.  With this expansion, we have set the long term goal of selling over one million combined new and used retail units per year. Additional information regarding our AutoNation USA store expansion can be found in the third quarter 2020 earnings presentation on our Investor Relations website. I will now turn the call over to Joe, our Chief Financial Officer.
Joe Lower: Thank you Mike, and good morning everybody. As Mike just highlighted, today we reported adjusted net income from continuing operations of $212 million or $2.38 per share versus $106 million or $1.18 per share during the third quarter of 2019. This represents a 102% increase on a per-share basis.  Third quarter 2020 adjusted results exclude charges of $28 million after tax or $0.31 per share associated with the previously announced exit of our aftermarket collision parts business and an unrealized loss of $2 million after tax or $0.02 per share associated with our equity investment in Vroom.  During the third quarter, same store revenue was in line with the prior year as increases in used vehicle and customer financial services revenue were offset by declines in sales of new vehicles and customer care. Tight supply of new vehicles continued to limit sales volumes and lower miles driven has limited the pace of customer care recovery. That said, we continued to execute at an extremely high level during the quarter with adjusted same store gross profit increasing 13% year-over-year. Recovering demand coupled with limited new vehicle supply drove strong margins with same store total PVRs up $966 or 28% compared to the prior year. We were also able to grow our same store used unit sales, which were up 3% year-over-year as we successfully met strong demand with trade-in volume and inventory sourced through our We Will Buy Your Car program. Looking ahead, we expect a rebalancing of volume and vehicle margins as inventories recover next year. Our customer care business also continues to gradually improve. Adjusted same store customer care gross profit declined 2% in the quarter compared to the prior year.  Moving to cost, and as Mike highlighted, adjusted SG&A as a percentage of gross profit was 64.4% for the third quarter, which represented an 800 basis point improvement compared to the year ago period. This impressive performance was driven by the combination of strong cost discipline, leverage of our digital capabilities, and healthy vehicle margins. Looking ahead, we remain committed to maintaining expense discipline and we continue to target operating below 68% SG&A as a percentage of gross profit. A decline in floor plan interest expense also benefited our results. Floor plan interest expense decreased to $11 million compared to $33 million in the third quarter of 2019 due to both lower interest rates and lower average floor plan balances. This combined with lower non-vehicle interest expense, a slightly lower effective tax rate, and fewer shares outstanding generated adjusted EPS from continuing operations of $2.38, up 102%. Moving to the balance sheet and liquidity, our cash balance at quarter end was $351 million, which combined with our additional borrowing capacity resulted in total liquidity of $2.4 billion at the end of September. Our covenant leverage ratio of debt to EBITDA declined to 2.0 at the end of the third quarter, down from 2.3 times at the end of the second quarter. Including cash and used floor plan availability, our net leverage ratio was 1.4 times at quarter end. Looking ahead, we will continue our disciplined capital allocation strategy utilizing our strong balance sheet, robust cash flow generation, and ample liquidity to invest in our business and drive long term shareholder value. To this end, today we are providing additional detail regarding the expansion of our AutoNation USA footprint, leveraging our established brand and proven success to further penetrate the attractive used vehicle market. Our AutoNation USA stores require upfront capital investment of about $10 million to $11 million per store, and we expect to build at least 50 additional stores by the end of 2025. Our AutoNation USA expansion is an exciting growth driver with each store expected to earn a pre-tax profit of almost $2.5 million annually once running at initial run rates.  In addition, today we announced that our board of directors has increased our share repurchase authorization to $500 million. I will now turn the call back over to Mike.
Mike Jackson: Thank you Joe. Throughout this pandemic, AutoNation has remained committed to our associates and communities we live and work in. 2020 marks the fifth anniversary of our Drive Pink initiative. Our associates, our customers and our partners have helped AutoNation reach a tremendous milestone of raising and contributing over $25 million in the fight against cancer. I want to thank our associates for all their efforts as we drive towards the next $25 million. I’m excited by the opportunities that are in front of us. We have built an industry leading brand and are one of the largest and most recognized automotive retailers. We will capitalize on our strategic advantages, and we look forward to now taking your questions.
Operator: [Operator instructions] Your first question comes from Rajat Gupta with JP Morgan. Your line is open.
Rajat Gupta : Hey, good morning everyone, and thanks for taking my questions. Also, congrats on a very strong quarter. 
Mike Jackson: Thank you.
Rajat Gupta: I just had a question on the gross margins, just to start with that. Clearly these levels do not seem to be sustainable longer term. Firstly, do you agree with that, and then when can we expect these levels to start moderating? Are you already starting to see that here early in the fourth quarter, or do you expect this to happen sometime middle of next year, fourth quarter next year? Any clarity on that would be helpful, and I then have a follow-up.
Mike Jackson: Absolutely, absolutely. There has been a significant shift towards individual mobility as a result of the pandemic and shelter-in-place. This has increased demand across the board from pre-owned through new in every segment. This individual retail demand is lasting and will continue for the next several years. We do not have the inventory on the new side or on the pre-owned side to meet the demand that’s out there, so we’ve adjusted pricing to balance the situation. Now, we expect availability to improve next year. Fourth quarter, we don’t see any improvement in the pipeline whatsoever, but I think first quarter into the second quarter next year, I think it will happen. However, the way to think about it is we’re leaving at the moment a significant volume opportunity that can’t be realized because of inventory restrictions, therefore we adjusted pricing, so then we’ll manage it as it goes the other way, that when availability improves, I fully expect this individual demand to still be there. Interest rates are going to be supportive of auto sales and the housing industry for the next several years - I don’t see any change there, and we’re bullish and optimistic about overall auto retail.  The key word there is auto retail within the total auto industry. I’m not commenting about fleet and what happens over there, so that’s not my specialty. But I can tell you when it comes to auto retail and people buying individual cars, both pre-owned and new, the demand is exceptionally strong. It outstrips supply, and therefore our volume opportunities are restricted and therefore we adjust it on the pricing side, and we will just--when that day comes, we will just manage it back in the other direction, but we will be selling more units.
Rajat Gupta: Got it. It seems like you’re suggesting that you might be moving towards a slightly higher gross profit per unit level on both new and used, just structurally given how strong demand is expected to be. Is that fair?
Mike Jackson: I think that’s fair. It’s not going to be what it is right this moment, but just like on the cost side where we’ve, with our digital efforts, have gotten to a new cost basis and it’s a couple years, several years underway, and we’ve publicly committed to run below 68%, so there is--for the foreseeable future, there is higher retail demand, there is lower interest rates, and we’re on a better cost basis and we’re more productive and efficient.
Rajat Gupta: Got it.
Mike Jackson: Within that, there are certain shifts that we’ll have to manage, and we will.
Rajat Gupta: Right, right. Just a follow-up on the AutoNation USA plan, the detail in the slide deck is really helpful. You talk about achieving a $2.4 million initial run rate. Could you give us a sense of what you’re expecting these stores to run at, just from a majority perspective? What’s the long term potential within individual stores? I’m assuming it’s higher than the $2.4 million. Any color on that would be helpful.
Mike Jackson: Yes, so at $2.4 million, it’s an outstanding internal rate of return, and one of the best investments we can make as a company, leveraging on our brand, our pre-owned one price process. The way that we think about these USA stores is very much as point of sale delivery centers and speed to market reconditioning centers. It’s very cost effective rather than moving everything around and doing the reconditioning centrally. Our speed to market is a real strength. What we’re saying and what we’re publicly committing to is this number, which we’re already achieving today, is well above our return threshold of a 15% internal rate of return, and therefore that’s what we went public with. Obviously we’re ambitious and a continuous improvement organization, and ultimately we will see if we can do more, but a far as a green light to build another 100 stores, we’re there.
Rajat Gupta: Got it, that’s helpful. Just one last one from me here on the SG&A side. Just looking at the dollar amounts of the SG&A, it went up significantly from the second quarter to the third quarter. It looks like it’s only slightly down year over year, say a couple percent. Based on what you’ve announced in the past around $3,500 to $4,000 permanent reduction, it seems like the dollar number for the SG&A should have been a little lower than that. Just curious as to if all those--this is like a good run rate to use, or there’s still more cost cutting measures that are in place that are wholly not reflected on the SG&A side here.  That will be all. Thanks so much.
Mike Jackson: Yes. Of course, the issue is that total gross is significantly higher than a year ago, and we are a commission-based system, so just with generating the higher gross we have higher commissions by definition. The challenge is really to be more efficient in total and have a lower percentage of payout so SG&A as a percent of gross could go down.  I don’t want to restrict improving or increasing total amount of gross, but why don’t you give a little color on that, Joe, please?
Joe Lower: Sure, thanks Mike. When you think about that and to kind of elaborate on what Mike said, you had $105 million improvement year-over-year in gross and actually a reduction in SG&A of almost $5 million, so you generate 800 basis points of improvement year over year. If you look--you know, you talked about heads, and heads are about 15% lower than they were the beginning of the year. That flows through compensation obviously, and compensation is down--if you break down that 800 basis points, compensation was down about 330 basis points year-over-year. Advertising continues to work down. It’s down about 120 basis points year-over-year, and store comp and overhead, so the three buckets I outlined last quarter, down 360 basis points.  We’ve continued to leverage the digital capabilities and the sales process, and as Mike said, with a significantly higher gross and elements of variable pay, despite having 15% fewer employees, you are going to see some pressure on SG&A total dollars, but as a percentage of growth dramatic improvement.  Just to go back to your question on gross, I think there are two other elements I just want to highlight as you think about that. One, you talked about vehicle pricing, but recognize another significant contributor is TFS, which has continued to improve year over year. The second component I’d highlight is fixed gross, which is still recovering, on an adjusted basis down just 2%, but I do believe as people continue to increase usage of vehicles, we’ll continue to see that recover, and that should be a tailwind on a comparative basis.
Rajat Gupta: Understood. Thanks for all the color, and good luck.
Joe Lower: Thank you.
Operator: Your next question comes from Rick Nelson with Stephens. Your line is open.
Rick Nelson: Thanks, good morning. Just to follow up on the last question, as we look out to 2021 as supplies normalize, you give back on PPU, SG&A presumably widens, do you think you can grow in an environment like that, and if so, what would be the growth drivers?
Mike Jackson: Joe, you’ve done a lot of work on that.
Joe Lower: Yes, so when you say growth drivers, you’re talking about top line, correct?
Mike Jackson: Talking revenue, or what?
Rick Nelson: It’s actually more in terms of earnings, but as you kind of move down the income statement. 
Joe Lower: Yes, so let’s start with gross. From a gross perspective, I think we’ve just addressed, I think you are going to see a rebalancing, which we recognize and will address. Again, I think continued benefit in areas like CFS and fixed gross will all continue to drive the gross profit. We really have adopted a very different mindset regarding costs, so now you get down into the cost lines, and with the commitment to keep the headcount low, again I mentioned we were 15% down at the beginning of the year. I’d say that we’ll continue to have leverage. We are committed to operate below 68%, and I think we’re going to continue to see an advantage when it come to the cost of floor plan, which has been a benefit. I think as Mike highlighted earlier, we see interest rates staying low for some sustained of period of time. When you couple longer term the USA expansion, I think that complements the existing franchise growth, and I would highlight if you go all the way down to EPS, we’ve announced this morning an increasing authorization of share repurchase which, if you will, think about operating leverage and financial leverage, we’re thinking about that in totality to drive ultimately down to growing EPS year over year.
Rick Nelson: Got you, thanks. That’s helpful. [Indiscernible] GPUs that we’re seeing here in 3Q, do you think those carrying on for the fourth quarter? I know seasonally you do more premium luxury which brings higher GPUs, but on a like for like basis, do you think they maintain?
Mike Jackson: Rick, we see no change in--significant change in inventory levels or the demand level in the fourth quarter. I think it’s--I think we’re into next year before inventories start to move. That’s our sense.
Rick Nelson: Okay, and then finally if I could ask on the AutoNation USA side, the big change in store growth outlook, I’m curious what’s driving the confidence and what do you think is unique about the AutoNation USA model compared to competitive formats.
Mike Jackson: It’s very addressing. We opened five pilot stores and committed to stop and have them perfected before we committed to a big rollout, and we were really disciplined and took the time and the effort to get those stores just right. I would say we had a lot of new ideas as far as customer process going into the USA stores that we put in place, and over time we realized that the processes we already have in our AutoNation stores are world class and what the customers really embrace and like, so we actually transformed our USA stores and all its processes - digital marketing, everything - to standard AutoNation, which we use, and it made a huge difference in taking out cost and being effective.  We also have confidence that the brand can move into new markets and be embraced by customers, so with a very good outlook on understanding what we did right and what we did wrong, I use the expression, we paid our tuition, and it gives us a great deal of confidence to go forward. Within all that, you also have what I talked about before, that there has definitely been a shift in consumer mindset towards personal mobility rather than shared mobility, and interest rates are coming down, not going up, and interest rates are going to be low as far as the eye can see, next several years. You put that all together and it’s clearly an opportunity that’s ready to be embraced, and we have it figured out, we’re highly confident, and off we go.
Rick Nelson: Great, thanks for all the color. Great quarter, and good luck as we push forward.
Joe Lower: Thank you.
Operator: Your next question comes from John Murphy with Bank of America. Your line is open.
John Murphy: Good morning guys. Just had a first question, Mike, on strategy. When we look at the line in the press release of retailing over a million new and used units ultimately as the goal, I’m just curious - it seems like you’re not doing a lot of new dealership acquisitions at the moment, so if we kind of hold that reasonably static and assume you get to one-to-one on new and used in your dealerships, it looks like AutoNation USA would be about a third of your volume, so it’s almost like new is about a third of that volume, used in your dealerships is about a third of that volume, and AutoNation is about--the AutoNation USA stores are about a third of the volume.  I’m just curious if that’s about right, and if we think about how you position the used units in your franchise stores versus what’s in AutoNation USA, how do you differentiate those two, and are they kind of competing forces and how does that work over time as it gets very big?
Mike Jackson: They’re very different in the sense that in a new vehicle store, it says AutoNation - let’s say it’s a Chevrolet new vehicle store. The average price point in that store for a new vehicle is $40,000, and you combine that with the pre-owned business that that store is doing, our average retail unit is around $30,000, something like that. Our price point in a USA store, which is strictly pre-owned, is $20,000.  The other thing is the USA store, whereas people have a singular focus on, say, Chevy going into an AutoNation Chevy store, the USA store is universal. We sell everything at a different price point. The other thing we’ve learned is on We Will Buy Your Car - USA store is much more approachable and the customer doesn’t feel they’re going to be confronted about buying a new car, and they’re very comfortable to come in and sell u their car. We have an industry leading process where we give them a check within an hour of the car coming in and being appraised, so it’s really quite remarkable, and the fact we have a centralized shared resource center in Texas makes all that possible, that we’re able to do that at lightning speed. Again, it’s part of our technical capability.  So as far as growth for the future, it’s really a capital allocation journey. We’re going to generate remarkable amounts of capital and we’re going to apply them to building these USA stores. We’re going to do some new vehicle franchise acquisitions where appropriate with good return, and as announced, we’re very open to share repurchase. We think there’s an opportunity here. So if you put all those together, it’s a pretty compelling vision and strategy going forward.  Joe, you’re key strategy officer also. Did I miss anything in your story?
Joe Lower: No, I think you communicated it very effectively. It’s a balanced approach that we’re sticking to, and very thoughtful. Well said.
John Murphy: Maybe if I could just have a follow-up, though, as you do more retailing online, the customer gets more comfortable with that, is there any reason that the inventory at the AutoNation USA stores as well as your franchise stores couldn’t all be included in a single portal to drive a better offering, a wider offering to the customer?
Mike Jackson: We’re there already, correct, Joe?
Joe Lower: Correct.
Mike Jackson: Yes, that’s done. That’s done. You go to AutoNation.com, it’s all there.
John Murphy: Okay, got it. A quick housekeeping question. Everybody is talking about SG&A, but what portion of it is variable, just so we can--? You know, is there a rough rule of thumb we can use there as we go forward, we can maybe estimate that better?
Joe Lower: Maybe half. Maybe is probably a--if you’re using a rough estimate.
John Murphy: Got it, and then Mike, just lastly on the demand recovery here, I agree with you - it seems like there is some incremental stickiness to this demand recovery. I’m just curious, as you look at the release of the some of the pent-up demand from the crisis months that we’ve actually been through for a while now, but the last couple months as you look at the 16.2 that we saw in September, do you think if you had a lot more inventory, you could have sold significantly more, and is there any potential for a couple months of payback before you re-base and the cycle really takes off, or do you think we are in take-off model for the cycle for the next three to five years? It’s what it seems like.
Mike Jackson: Yes, I don’t think this is pent-up demand from the shelter-in-place, although there’s probably some of that there someplace. But this is really a fundamental shift in demand towards individual mobility. Now, you have to be careful when you focus on the total SAR that includes fleet, because that number is going to be impacted by the fact that people aren’t traveling, the rental car business is down, how the various businesses, what they’re doing with their fleet, so I’m not talking about the top line SAR. I’m laser focused on the retail selling rate, and that is significantly restricted at the moment due to availability. As availability improves in first quarter, second quarter of next year, you’ll see that number be positive. So I think we’re past the whatever you want to call it - snapback, pent-up demand. No, these are--and here’s the way to think about it. I know everybody says, well, what’s with the overall economy? What’s happening here is a reorientation and prioritization of the household budget, okay? What the American people are saying and doing is, you know what? I want to move away from density, I want more space at home. I may be working more at home in the future than I thought I would be, and by the way, I want to be--I love the independence of deciding when I move around and how I move around. I’m not real excited to get back on public transportation. This is across all price points from a $5,000 pre-owned car up to a premium luxury car. We are hearing this all day long. Now, I’ll fully say the fact that we have very attractive interest rates is a multiplier effect on this reorientation of the household budget. But that’s the priority in the households today. There’s a lot of things they’re not spending money on, and the two things they’re definitely spending money on in spending more time in the home and where that home I and how it is, and how they get about. So for auto retail, those are two very positive optimistic developments for the next several years. 
John Murphy: Completely agree. Thank you very much for the time.
Mike Jackson: Excellent.
Joe Lower: Thank you.
Operator: Your next question comes from Adam Jonas of Morgan Stanley. Your line is open.
Adam Jonas: Hey Mike. I have a question about your digital fulfillment. Can you tell us either--and I assume the number is very, very low, but what percentage of your used vehicle sales, for example, are completely digitally fulfilled, meaning little or no touch at all between the consumer and a dealer?
Mike Jackson: In our retail location?
Adam Jonas: Yes.
Mike Jackson: It’s a low percentage, and that’s where the consumer is happiest. They want to choose to do as much as they want digitally, and then at a certain point they want to engage with a delivery center, or we deliver to the home. So--
Adam Jonas: So it is less than 1%? Is that--?
Mike Jackson: Well, I’d say it’s low single digits. It’s low single digits.
Adam Jonas: Okay. I’m just curious, Mike, have you--I’m sure you have, but I’d love to know, assuming that you’ve used the Carvana website to buy a car or to see how it works, what do you think of that user experience? It’s not a question about the business model or the valuation or anything like that, although I’m sure we’d all like their multiple. But what do you think of their user experience for used car purchase and/or sale, and as you roll out AutoNation USA, how is this going to be different?
Mike Jackson: I think it’s a very good experience; however, ours is better and the reputational scores, and Joe, maybe you have them there, and the net promoter scores of AutoNation are industry leading. We have a great experience and we’ve found the right line, and we’ll let the consumer decide where that line is.  What I can tell you is where the consumer is happiest is right where AutoNation is, and we fully originate 45% of our business through the digital channel and then at some point, there’s a crossover and we let the customer decide where that crossover is. We give them a fabulous experience from that crossover, and they can move seamlessly back and forth. Our reputational scores and our net promoter scores, that’s exactly where the consumer is, and we now have a robust platform that’s capable to move wherever the consumer wants to go, as far as where that line gets drawn. But this leads into the decision as to why we’re building USA stores, because the customer wants a delivery center. They want a place to go to complete the transaction, and another benefit is our reconditioning costs are significantly lower and our speed to market is significantly higher by being close to market, rather than moving everything around multiple times, because we also care about making money at the end of the day. That’s another expectation we have. We have a double expectation - delight the customers, sell a lot of vehicles and make money.  So that’s a harder, more arduous place to get, and we’re there, and that’s why we’re going to go out and build 100 USA stores.
Adam Jonas: That’s great, Mike. Just one last one from me on culture and incentives between the digital initiatives that you’re investing heavily and accelerating in over the years to come, and then the legacy stores or the legacy operation where your investment in people and systems might--you know, were more on the brick and mortar side. So the extent that you moved to omnichannel, how do you overcome what could be some conflict between a corporate digital initiative for omnichannel to get the returns for shareholders and same store and all those efficiencies, how do you incentivize the GMs at the brick and mortar stores to be truly channel agnostic, so that they kind of don’t care whether you come in and generate a commission on an in-store sale versus if it’s totally touchless online?  Thank you.
Mike Jackson: Yes, it was a huge complex cultural challenge for us to go through to create an AutoNation experience with an omnichannel. We went through a significant investment period, as I announced. We went through a significant [indiscernible] extension period, as announced. It was difficult, disruptive, painful, and required perseverance to get through it. We paid our tuition and we climbed a mountain, and now we’re on the other side of the mountain and it’s a great place to be. Some of the tells of what we really did is if you look at the fact that we one-priced all pre-owned across the entire enterprise, and we don’t care whether it’s in a traditional new car dealership or in a USA store. It’s one price, it’s appraised, acquired by the company, and priced centrally. We have the--we’ve built the technical capability to one-price all our inventory for pre-owned across the entire enterprise, so that’s an example of how we’ve dealt with this issue. Now, running the USA store within the AutoNation management system is something that people aspire to do, whereas before it was the glamour new car business. Still important to us, but now just as important is the excitement of running an AutoNation USA store. So I’m happy to say that while we will continue in digital and technical capability, it will not require the same level of investment and cost that we’ve had in the past years because we’ve built it, it works, and now we just enhance it from this time forward. But we have a central understanding of 9 million customers, that if you’re taking your daughter off to school and you buy her a car in California, and then following week you’re back here in Miami and you walk into one of our dealerships, we know exactly what you did the previous week with your daughter out in California. If you come in to service in New York and then you have a house in Florida, we know exactly. We know the entirety of your relationship and your history with AutoNation, everything that happens, what your preferences are, and what is the likelihood of what you’re going to buy next and think is next, and we proactively market to that.  It’s completely changed our marketing costs. It’s completely changed the productivity of our sales people, and so we’re really on a new basis, and I guess the key point, we did it on an enterprise basis. It’s not two cultures. It’s not two companies. It’s one company, one brand.
Adam Jonas: Thanks Mike.
Mike Jackson: Thank you.
Operator: Your next question comes from Bret Jordan with Jefferies. Your line is open.
Bret Jordan: Hey, good morning guys. 
Joe Lower: Morning.
Bret Jordan: On the We Will Buy strategy, could you talk to us about what percentage of the cars that you’re buying that are young and healthy enough to turn around and resell, and I guess whether there’s any trend in negative equity that’s preventing the vehicle owner from converting.  And then I guess I’ll ask my follow-up question at the same time - are you seeing, given this demand for personal mobility, a reduction in volumes, folks not coming in to sell you their car because they want to keep them?
Mike Jackson: Joe, you want to take that?
Joe Lower: Sure. From a procurement standpoint, I generally think of--from a used standpoint, between 60--depends if it’s a franchise or a USA store, I’d say between 60% to 75% of our cars, and I’ll give you more detail, are acquired from customers, so we have a much lower dependency on auction and whatnot. If you look at We Will Buy Your Car, it ranges from 10% to 20%. It’s higher in USA, so almost 20% of our cars at USA are procured from We Will Buy Your Car. That’s a lower percentage, understandably, in the franchises, probably 10%, but that gives us a significant advantage from a procurement standpoint if you compare it to the peers. I don’t see anyone close to that percentage of customers actually--pardon me, cars acquired from customers, which clearly is a benefit to us when we think through the value proposition we can offer our customers.  Does that help to kind of understand the--
Bret Jordan: Yes, it does. Are you seeing any trends that negative equity is preventing people from selling to you when they want to?
Joe Lower: We have not seen that.
Mike Jackson: Nothing out of the ordinary. Nothing out of the ordinary.
Joe Lower: But we continue--sorry. Month over month, we continue to find continued growth in the program, so we haven’t faced that obstacle.
Bret Jordan: Okay, and then I guess the question on mobility demand, are you seeing--and I guess maybe this question is to Mike, as you see the spike in demand for personal mobility, do you see that going more to used versus new in ’21, and maybe if you’ve got a thought for where retail SAR is in ’21, that’d be helpful.
Mike Jackson: At the moment, it’s so much across the board, and demand is so strong that when you--when the customer can’t get exactly what they want in new at the moment, we’re able to show them something in pre-owned and they are willing to make whatever trade-off that requires. That’s how you get this additional demand in pre-owned. Now, as availability improves on new, it’s very hard to predict exactly what will happen.  Also, I have to say I’m reluctant at this point to put out a retail SAR for next year because I still truly don’t understand exactly how and when these plants and shipments come through. We’ve had of course running conversations with the manufacturers since the spring, and every target has been missed. What we’ve been told we would be shipped, it simply did not happen, so I’m like, okay, this is now we’re in, when I see it, I’ll understand it and I’ll be able to predict it. So as I already said, I don’t see any change in the fourth quarter from what I understand is coming through, and so now we’re into the first quarter, best case. When I see that they’re able to consistently achieve their shipping targets, then okay, now we can talk about what you can sell new. The demand is there at retail. It’s very interesting - I’m not worried about the demand, and on the demand we’ll either get it through the volume or we’ll get it through pricing. We’re pretty good at balancing that. I just can’t tell you when the exact crossover moment comes, so it’s very hard to predict retail SAR for next year under the circumstances. 
Bret Jordan: Right, thank you.
Operator: Your next question comes from David Whiston with Morningstar. Your line is open.
David Whiston: Thanks, good morning. I guess first on new vehicles, the ASP is up, unit volume is down, and I was just curious how much of that ASP increase and ultimately the increase in new vehicle gross profit is due to that higher ticket versus a mix shift to light trucks and the inventory shortage giving you pricing power.
Mike Jackson: Joe, you want to take that?
Joe Lower: I can’t give you exact numbers, but clearly it’s been well documented - you’ve seen the shift going to trucks and SUVs. It has had a modest impact on the increased price per vehicle, and we clearly can see that trend continuing. Frankly, it’s one of the areas that we have the tightest inventory supply, and so in many ways here we are restricted by supply, not demand. I don’t see anything right now that’s likely to change that trend, particularly given what’s happening with gas prices, etc.
David Whiston: Okay, and on buybacks, if down the road you were to-basically buybacks were to be very difficult due to your float getting too low and whatnot, and some institutions not wanting to get rid of their shares, would you want to at that point start a dividend or would you prefer M&A?
Mike Jackson: I think our capital plan, the most likely capital plan is what I discussed earlier - investment in USA stores, acquisition of new vehicle franchises, and share repurchase. I don’t really see a change from that, do you, Joe? Your views?
Joe Lower: No, I think we have too many good opportunities in front of us, the returns are too attractive, that until we feel we’ve exhausted those, I think the priorities that you’ve set, Mike, are the exact right ones. 
David Whiston: Okay, and just one last question on products. As you know, GMC unveiled their Hummer pickup last night, and there’s a lot of automakers, legacy and start-ups, wanting to get into this very high end of the electric pickup market, including now you’re OEM partners with GM. That Hummer starts at $112,000 for the performance model. I’m just curious, one, your reaction to the product that you saw last night and that whole niche getting carved out, do you think that will ultimately be a really successful market because there’s just a lot of wealthy customers that want that type of vehicle? 
Mike Jackson: The shift to electrification is underway, there’s no turning back. We’re excited to sell them and the investment is there across the industry, it’s just tremendous. Execution still matters on the actual product. You can’t--you’ve just got to get it right, so I have to admit the Hummer announcement last night put a smile on my face. Oh my God, if you want a metaphor for old General Motors versus new General Motors, just look at the Hummer. What a fantastic vehicle. I mean, in my personal view, they nailed it, and they used it--they used a name which you literally had to pull the plug on some years ago to re-launch at the pinnacle of the technical capability that General Motors possesses today, and I think it’s going to be a great success. Now, obviously with that price point you can make good money, but there’s only so much volume you can do. But I think it shows a spirit and an understanding of what you have to do for an electric vehicle to be a success. It’s not enough just to drop some batteries in there and put an electric motor in there - that’s not going to get it done. I think General Motors is to be congratulated, GMC and Hummer. It just put a smile on my face. I think it was just a great moment. It’s a great video, and that thing where that [indiscernible] across the trail, I almost fell out of my chair - oh my God, who thought of that?  It’s exciting to see from General Motors, it really is. I couldn’t be happier. It made my night.
David Whiston: I agree.
Mike Jackson: Then of course, we announced our earnings this morning, which made me feel also very good, so I’m having a good day between the Hummer and our earnings. I’m having a good day.  You’ve got to admit, it’s a grand slam. It’s a grand slam for the company, it’s a grand slam for the brand, and customers will go nuts.
David Whiston: Yes, in 13 years, I’ve seen a lot of product unveilings, and I’ve never been more excited and enjoyed a video or unveiling as much as what I watched last night.
Mike Jackson: There you go! We’re brothers. We fully agree. We’re in completely different places, and then boom, there we are. And let me make a point - we sell them. I’m very excited about that.
David Whiston: Yes, I look forward to hearing more about it as they’re on sale.
Mike Jackson: So here’s my point - we have great products coming from the manufacturers around electrification, whether it’s from the Taycan to the Hummer, and volume products that are getting better and better that we are excited to be in the electrification business, and our digital platform in the not-too-distant future will unveil the full range of electric vehicles that AutoNation has available and coming to the consumer. You just go to our site and you’re going to push on electric, and it’s all there from A to Z, including pre-owned Teslas. We’re excited.
David Whiston: All right, great. Well, thank you. Always appreciate your opinion.
Mike Jackson: Thank you.
Operator: Your last question comes from Stephanie Benjamin with SunTrust. Your line is open.
Stephanie Benjamin: Hi, thanks for squeezing me in here. 
Joe Lower: Hey Stephanie.
Stephanie Benjamin: I wanted to talk a little bit about used vehicle volumes. I know we talked a lot about where we stand with the new vehicles, but how are you feeling about your current used vehicle inventory levels, given it’s a pretty hot market, where you’re positioned now and going forward on the used side?
Mike Jackson: We’re actually doing a very good job and our speed to market is excellent. I think our big advantage is that 75% of what we retail, we acquire from consumers either through trades or direct purchases. This puts us in a very good position on the gross profit side and it’s very sustainable.  Now do we think we could have sold even more if we had them? I think so, and that’s an ongoing discussion within the company. But of course, as we increase our footprint with USA stores, we’ll get significant growth there, and hence you put it all together and we feel ultimately AutoNation as a company and a brand will retail over a million vehicles in the U.S. 
Stephanie Benjamin: Got it, and then last just on the customer care performance, were there--you know, it kind of remains down year over year, which you pointed to the continued decrease in vehicle miles driven. Are there any pockets of strength or weakness in different geographies across your footprint, and maybe some that might show a picture to when you expect this segment to return to maybe at least flat year over year? Thanks.
Mike Jackson: Joe, can you take that please?
Joe Lower: Sure. Within customer care, probably not surprising an area that’s down a bit is collision, with just fewer people driving. What’s an interesting dynamic, though, is the average ticket really across the customer care portfolio has increased, so we’re seeing in general folks spending a little more money when they’re in. We’re seeing collision recover, but that has been a slower area to date, again just I think really driven by the miles. But if you looked the last couple of months, month to month to month, it is continued improvement, so that down 2% for the quarter, again if you think through the sequential improvement, the business is recovering and we do believe collision will be that final straw, if you will, as people continue to increase driving this fall and into the winter. That really is probably the only area that has just continued to lag a little bit versus our expectations.
Stephanie Benjamin: Got it, thanks so much.
Mike Jackson: All right everyone, thank you for joining us today. We very much appreciate all your questions and inputs and ongoing discussions. Rob of course is available if you have any follow-up questions, we’ll try to get the answers for you.  Thank you for joining us today.
Operator: This concludes today’s conference call. You may now disconnect.